Operator: Greetings, and welcome to the Pegasystems’ Fourth Quarter 2014 Earnings Teleconference Call. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Rafe Brown, CFO of Pegasystems. Please proceed.
Rafe Brown: Good evening, ladies and gentlemen. Certain statements contained in this presentation, including but not limited to, statements related to future earnings, bookings, revenue and mix of license revenue, may be construed as forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. The words expects, anticipates, intends, plans, believes, could, estimates, may, targets, strategies, intends to, projects, forecasts and guidance, and other similar expressions, identify forward-looking statements, which speak only as of the date the statement was made. Because such statements deal with future events, they are subject to various risks and uncertainties. Actual results for fiscal year 2015 and beyond could differ materially from the company's current expectations. Factors that could cause the company's results to differ materially from those expressed in forward-looking statements are contained in the company's press release announcing its fourth quarter and fiscal year 2014 earnings, and in the company's filings with the Securities and Exchange Commission, including its annual report on Form 10-K for the year ended December 31, 2014, and other recent filings with the SEC. Although subsequent events may cause the company's view to change, the company undertakes no obligations to revise or update forward-looking statements, whether as a result of new information, future events or otherwise, since statements may no longer be accurate or timely. And with that, I'll turn the call over to Alan Trefler, Founder and CEO of Pegasystems.
Alan Trefler: Q4 was a solid quarter capping off with a strong year for Pega. We exceeded our original full year non-GAAP revenue guidance of $580 million coming in at $593 million, a 16% increase over 2013, while also achieving our goal to increase our backlog. For the full year our non-GAAP license and cloud revenue was up 25% from the previous year. Our business in Europe improved in the past quarter and North America continues to be strong. Our strength in sales and on boarding, marketing, customer service and platforms is a driving business growth across the globe. And the ability of our software with the unifying operations in the customer lifecycle management area is particularly powerful in those markets where cost reduction and customer engagements are both important priorities. And we think we can do more, as we look at 2014 particularly the second half in 2015, we think that is some of the discussions we’ve had on these calls where we’ve talked about how we want to evolve our business going forward. Now in 2014, we made a lot of investments and I think made a lot of the right initial steps to fundamentally change where we go to market and make important changes in our business. We made significant progress in 2014 and will continue to focus in these areas in 2015 and we expect to see returns in the future. The initiatives that we’ve been working on are going to focus the business around accelerating growth and capturing more of the very large potential market, we think we’ve the ability to address. Now, we’ve discussed with you a number of times that our software address is a much larger opportunity then the one articulated traditionally as “VPM”. And in 2014, we developed and rolled out new messaging for the company and our products that positions are squarely in the area of what we refer to a strategic application. Now you can see this description on our website which we launched just after the New Year which highlights this new positioning. Applications engineered for evolution and I think really brings into life. The site data reflects where we’re as a company, what we sell and the value we bring to our clients. We made it easier for clients to understand what we deliver and how we can meet their needs to specific applications and we’ve better content and have navigation and are looking field that matches our company positioning. And I hope you’ll take a look and let me know what you think. Now, we’ve talked about the transition we’re making and how we want to begin to expand our market coverage beyond the traditional what we call say, global 400 large, large accounts and continue our expansion in 2015 to what we refer to as a global 2000. Now doing this we think markedly increases the market that we can go after and obviously making change to this type, we’re going to have to do a number of key incredible strategic things to achieve it. We’ve identified five areas in which we intend to work and deliver this year the types of changes to our business, we think we really set us up terrifically for the future. But first, as we’re going to enhance our marketing, similarly if you started on a website but with much, much more to drive awareness and develop a Pega digital community. Our traditional target account approach to marketing really did not have much marketing awareness project in it. We really were very much focused on direct almost hand-to-hand engagement with our clients. You’re going to see us, work to become much, much more visible as we’ve just started and now talk about what we’re going to be doing as soon as next month in just a little bit. But when do this to expand our target market to the global 2000 and we’re going to accelerate the development of strategic applications that are richer and more capable of allowing those organizations to the global 2000 to not be sold too as much as to able to buy. You’re going to see this transition of moving from a company, it goes a 100% what I would describe target account selling to a company that empowers buying, continue quite markedly during 2015. We’re going to continue our investments in our core platform technology because it is that core platform that gives our technology the power to revolutionize businesses and let them adopt well sort of strategic advantage compared to the competitors and a key part of this, our fifth initiative is going to be around further development and rolling out of our Pega cloud offerings which we think will be a very important way for this next year of potential customers to buy. So, these are the areas in which we’re going to be working and we’re very excited. So, start going into a little more detail about how this is going to look in coming quarters, let me talk a bit about the marketing awareness we’re going to be doing to really be able to expand our target market. You’re going to see several significant marketing campaigns throughout this year and this is really going to be end bolted getting more visibility with this global 2000, but we think it’s also going to be helpful with our larger traditional top 400 account market as well. Next week or two, you’re going to be seeing our first ever paid corporate visibility campaign which we believe will significantly wear our awareness over the next several months and perhaps even cause a bit of stir in the industry and we expect to continue to invest in marketing in 2015 because we know that our awareness has traditionally been very, very long and we think there is a huge opportunity to improve the way we sound [frankly] to the entire base. Now, relatively we’re going to be building out our ecosystem both raising awareness there and using our key partners to be able to help us, well solve for the bigger market that we’re going to be going after. We really done a lot of work on building out this ecosystem and I’m really thrilled with the extended relationships we form with companies such Accenture, Mackenzie, Capgemini, Apples and Cognizant. These are going to be important organizations as we look to expand the amount of license we’re selling while keeping our revenue growth and our staff growth in our services business that are very modest level. Now, we’ve added new partners in Europe in particular to those who have presence there because we find that smaller partners can sometimes be easier and more appropriate to work in the local language and we now have more than 70 partners around the world what we think really extends our reach geographically and vertically. And we think these are going to become increasingly strategic as we expand our prospect base from the global 400 to the global 2000. Now we continue to see on messaging around this idea of strategic applications resonate with the customers that we’ve been rolling in. As a reminder we define this concept of conforming business applications. As long as it support things could be really important to a company but are not central to the way of firm differentiate itself. Examples could include accounting, payroll, contact management these are things that well, a company might buy but it’s unlikely to think of as needing to make their own, needing to evolve, needing to change rapidly. By contrast strategic business applications of those that organizations used to differentiate and they must evolve its market, its products, customers’ regulation and competition all change. Now other features are important for these apps, the ability for the organization to tailor the application to its needs and rapidly adjust the changing requirements will be what distinguishes strategic applications from conforming applications and they will distinguish the companies that are able to empower themselves to be strategic from the firms that will grow by the way side. We continue to see opportunities where competitive differentiators are winning us business including especially in our intelligent customer relationship management capabilities that can actually not just response but even project and address customer needs, the ability to connect backend operations with frontend customer facing systems and really allow customers to go end-to-end during - well, immediately from request all the way to fulfillment and going from one channel to another. This helps our customers get more value out of their existing systems and helps them manage complexity and achieve end to end simplifications. Now, this quarter we’ve seen new wins and meaningful increases in our relationship with a great number of companies, great firms like [indiscernible] Schwab, CVS, Cocks Enterprises and Barclays, it will be ultimate test of our software though as much as customers which used to buy, but customers who are achieving important go lives and really helping their business. And we had wonderful wins and successes going live with companies like Pfizer working in the area of pharmacovigilance, an important area for process, case management and customer engagement. Well point where we delivered a new claims workstation capital one, handling disputes for cards, for study group perhaps an organization representative of the new direction of small organizations are operating out of Asia using us on the cloud to streamline admission to educational institution. Robobank, a new commercial lending app, U.S. bank in web based contact center for billing [indiscernible] commercial firms like General Electric in the supply chain area. So, we’re finding that we can deliver improved applications, we can help our companies, the customers we’ve strategically differentiate and we’re very excited with what we added to the product in 2014 and what we’re going to be able to show in 2015. In 2014 we made a number of what I would describe as strategic technology acquisitions, and very small companies have enabled us to really bolster the technology in particular somebody called MeshLabs which is text analytics and social engagement technology and fire five, the co-browsing and that we’ve now completely unified these into our Pega Technology so that our customer relationship management, our customer service all aspects of our platform now were enabled with the state of the art features. We launched the new version of our sales automation with improved omni-channel capabilities that leverage this and also do a brilliant job of supporting mobile which is also an example of where we think are model driven approach of our unique platform. It’s really going to facilitate organizations that have to run on multiple country devices and that want processes that work seamlessly from the mobile device all the way through their front and back offices. Once again, we think the way that world is going fix what our technology does and will do perfectly. And on the vertical front we launched new and enhanced applications in a numerous number of industries you can see on the website and continue to invest in our Pega 7 platform finding ways to build things into that platform that help all of our industries but also help organizations that may want to do something on more of a platform basis. This includes enhancing our decision management capability with new business user tools and make it easier for people to directly manage and change how they market to their customers, what the offers are and how we can help them always know what the next best action is for an individual client. So, we’re going to continue to push in these areas, we’ve launched significant product releases, I’m very excited about the things we’re going to be doing over the next couple of quarters and including what we’ll show in Pega world in June which is always a high point of the year for us. And one of the things that we know we’re continuing to emphasize is the cloud. Now, the cloud I think is central to our new strategy because frankly in this year of customers that are smaller than the global 400, they really benefit from some of the cost, scale and operational advantages more than some of the larger companies do which frankly have economies scale themselves. But, we do think that cloud will become increasingly important in all aspects and sectors in the market. Now it’s true it’s off of the small number, but I was pleased that our non-GAAP cloud revenue grew 86% in 2014 and we anticipate strong additional growth as we go forward. In 2014, we recruited one of the industries foremost leaders in cloud computing to run our cloud operation and we’ve been making great progress with our partner Amazon Web Services to be able to provide what I think is a state of the art cloud environment and this is something we’re continuing to dig in. We were pleased to be able to present an Amazon’s we call the big think partner reinvent conference in November and are excited about the evolving relationship and what we think we’re going to be able to do on that platform. So, in summary 2014 was the strong year for Pega, we know we’ve a lot more we can do, we think 2015 is going to be an important building year for us. But the opportunity we see in front of us is very significant and I’m quite encouraged that this transition has the potential to be as potent as the one that we made years ago when we actually decided we are going to go in and pretty much lead the business process management market. This gives us a chance to broaden our opportunity that we’re going after that what we’ll be focusing on and we see a lot of customers left space already starting to respond positively up to what we are going to be able to do that. We think that this need for digital transformation which our technology will support is one that’s going to be continuing and increasingly and as a result we are excited that we are well positioned to be able to take the steps to be true leader in this strategic application market really driving applications that are engineered for evolution. And with that let me turn it over to Rafe to talk about some of the number.
Rafe Brown: Thank you, Alan. For the fourth quarter and full year results of our fiscal year ended December 31, 2014, we are reporting both GAAP and non-GAAP results. A full reconciliation of our GAAP to non-GAAP measures is provided in the financial tables of the press release issued earlier today, and is available on the Investor Section of our website. As we have discussed in the past, quarter-to-quarter comparison do not necessarily reflect the underlying momentum of our business as the timing of small number of large transactions can significantly impact our results. To provide the best look at how our business is performing, let me run through the results on a full year basis. Full year, 2014 non-GAAP total revenue was $593 million up 16% year-over-year. Full year 2014 non-GAAP license revenue was $234 million up 22% year-over-year and non-GAAP cloud revenues stood at $17 million for the year, up 86% over the prior year. Thus total non-GAAP license and cloud revenue stood at $251 million, an increase of 25% over the prior year. As a percentage of full year non-GAAP revenue license, cloud and maintenance revenue stood at 74% of total revenue, up from 70% for the same period in 2013. This is a direct result of our higher margin revenue items growing faster than the growth of professional services and training. Looking at our results on a geographic basis, non-GAAP revenue in North America grew 21% to $363 million for the year and stands at 61% of total revenue. Revenue from EMEA was approximately $181 million on a non-GAAP basis or 9% year-over-year. 2014 Asia Pacific revenue was up 9% to a total of $49 million. Well, there remains room for improvement we were pleased to see European software sales improve in the fourth quarter compared to the challenges we experienced in Q3. As we have discussed in the past, we offer our customers a number of options when purchasing our software including perpetual and term license arrangements as well as the choice of installing the software on premise or using our cloud offering. With respect to license revenue, we reiterate our preference for deals that drive ratable revenue recognition. With this in mind, we are pleased that the contribution of non-GAAP license revenue recognized some term and license subscription arrangement for 2014 increased to 41% of total license revenue up from 36% in 2013. We anticipate this trend continuing though we do remind you that many of our customers have established buying patterns and are strong preferences as to deal structure and as such a portion of our license revenue derived from either perpetual or ratable arrangements can be highly variable. For the full year 2014 non-GAAP professional services revenues were $150 million up approximately $4 million from the same period last year. While professional service margin challenges persisted through Q4 particularly in Europe. We finished the year with essentially flat gross margins for our businesses as a whole 70.7% on a non-GAAP basis compared to 71.3% for 2013. Turning to the rest of the income statement; we posted a non-GAAP operating margin of 14.9%. Year-to-date non-GAAP operating expenses were approximately $331 million, up 20% from 2013. As we’ve discussed in prior quarterly earnings call, the company is making significant investments in the next generation of our technology. R&D cost for 2014 grows 25% over the prior year after adjusting for the reclassification of cost from marketing to engineering that we discussed in Q1 of this year. In analyzing our full year R&D expenses it is important to recall that year-over-year R&D run rate jumped as a result of the Antenna acquisition which occurred in Q4 2013 which was principally a technology and technologist acquisition. In addition, full year sales and marketing costs were up 17% on a non-GAAP basis after adjusting for the re-class of cost mentioned a moment ago. We believe our investment in both building the sales team and revamping our marketing efforts will continue to drive long term growth in our business. For the year G&A cost remained at approximately 5% of revenue. Turning into earnings, for the full year 2014 we posted non-GAAP earnings totaling $58 million after applying the non-GAAP tax rate of 31.7%. On a non-GAAP fully diluted EPS basis this provided $0.74 per share. It should be noted that our full year 2014 earnings were reduced by an FX charge of approximately $4 million or approximately $0.03 of diluted earnings per share. Now, to discuss license and cloud backlog; we compute license and cloud backlog by totaling two elements; deferred license and cloud revenue as posted on our balance sheet and off-balance sheet licensing cloud commitments that are signed, but as yet unbilled. As a reminder, you can find details on both elements in our 10-K and a summary table in our press release, both of which were filed earlier today. We finished the year with $365 million of total licensing cloud backlog. For year-over-comparison purposes total backlog as of December 31, 2013 was $347 million. Thus as of the end of the year, backlog has increased $18 million or 5% over the prior year. It is also helpful to look at the current portion of license and cloud backlog, which is a current portion of license and cloud deferred revenue plus 2015 portion of signed off balance sheet license and cloud commitments. At year end, the current portion of backlog stood at $152 million an increase of 15% over the prior year by effectively excluding the impact of multi-year ratable license arrangements we believe current backlog as a helpful data point in assessing underlying momentum of our business. Turning to cash, for the year the company produced $100 million of operating cash flow an increase of 24% over the prior year. Free cash flow, which we define as operating cash flow less CapEx was $88 million up 18% over the prior year. We finished the quarter with total cash to marketable securities of $211 million, an increase of 35% over the prior year. For the year the company repurchased approximately 770,000 shares for $15.6 million and as at year end we had a balance of $13.3 million available for repurchases for the coming year. And on headcount, we finished the year with approximately 3,000 employees up 15% from last year. Now to discuss guidance for 2015, as disclosed in the press release issued earlier today, we are initiating revenue and EPS guidance for fiscal year 2015. We expect both GAAP and non-GAAP revenue for the full year 2015 to be approximately $653 million, this is net of approximately $10 million in currency related headwind consistent with prior year’s we expect our revenue will be somewhat backend loaded and are thus estimating first half revenue to be approximately $295 million. Consistent with the past few years, we do expect license and cloud revenue will grow faster than total revenue in 2015 as a result our professional service revenue is growing at a modest pace. For the full year 2015, we expect to earn an approximately $0.78 per diluted share on a non-GAAP basis. GAAP earnings per diluted share for the full year 2015 are expected to be approximately $0.46 per fully diluted share. As Alan mentioned we are making every effort of position the company to accelerate growth and achieve our longer term objectives. In 2015, we are shifting resources and making new investments to support each of the following core corporate initiatives. Enhancing our marketing, expanding our target market to the global 2000, accelerating development to strategic applications, continuing to invest in our platform technology and further developing Pega Cloud. We believe this investment will yield accelerated revenue growth over the years to come. In summary, we delivered strong license and cloud revenue growth in 2014 and achieved significant advancement in key product areas while investing for future growth. 2015 will be an exciting year as we introduced the number of our product offerings to new customers. But before I conclude I would like to remind our analysts and investors to save the dates for PegaWORLD June 07 to June 09 in Orlando, Florida with an investor focus session on June 08. Now, with that operator, we will open the call to questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Steve Koenig with Wedbush Securities. Please proceed with your question.
Unidentified Analyst: Hi guys. This is actually [Jay Cho] dialing in for Steve. There are few questions on Pega, first question is Pega has historically maintained a license [indiscernible] in the high teens. What’s your thinking around being able to maintain this rate of license growth, is it reflected in your guidance and your overall revenue growth is about 10% due to services team shifted rapidly to partners or how should we able to see this?
Alan Trefler: So I think it appears the services question as it happened in the past I think services growth would be very modest so that single digits are type of growth because partners are central to the strategy that we’re pursuing and we are also working hard to try to drive services out of the applications and I think it’s an important part of our strategy. When we think about revenue growth here, there is a lot of things that I’m very excited about but it is the year of transition for the firm and we are trying and expecting for example a lot of these new customers we’re pursuing and moving our efforts in energy storage are going to be very, very likely cloud based customers. We are seeing the evidence of that type of interest and of course the cloud deal gets revenue very, very differently than a perpetual deal. Having said that we think that we can be very successful in this part of the market and that’s why we are going to be making this investment etcetera. If we can figure out how to boost our growth rate over the next two or three years, our view that we have not been successful as a management team. So, we are not looking for decelerating growth we are doing this very, very significant if you are advertizing in other type of work and I think very meaningful driven, increasing due to the cloud to frankly increasing and significantly accelerate our growth if you look at couple of years.
Unidentified Analyst: Okay. That’s helpful. And just to sort of clarify is the cloud revenue that you’ve broken out part of the license line on the income statement?
Rafe Brown: No, cloud revenue is in the services section and you can find details about in the K, we break that out, but the accounting rules treat cloud as a service and so for those of you have the fresh 10-K on hand, go to page 24 and you can see the detail of the cloud revenue and its growth.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Mark Schappel with Benchmark. Please proceed with your question.
Mark Schappel: Hi, good evening. Rafe starting with you, I wondered if you could just talk about the foreign exchange impact in the top line you had, you mentioned that on the call if I missed it?
Rafe Brown: Yes, so and to be clear for 2014 the FX I mentioned there was not a top line FX number but that was down in other income and expense that’s actual losses that were derived from transactions and intercompany balances and things of that nature. For the year on FX out in the top line we actually ended up relatively flat as a result of FX, we benefited during the majority of the early part of the year, just a tiny bit in the fourth quarter obviously FX rates moved the other way and there was some headwind on Q4 and really in the second half. The other thing to be understood in that is that a number of our transactions even outside the U.S. are billed in U.S. dollars so that’s mutes it a little bit. So, launched very short for 2014 we didn’t see a whole lot of impact on the top line. However, when we look to 2015 there is definitely some headwinds using current rates that we baked into the guidance we gave approximately $10 million of headwind.
Mark Schappel: And how about for the quarter, do you have the quarter number, I mentioned that in the quarter.
Alan Trefler: Yes, we did.
Rafe Brown: Yes, we did and so for the quarter there was about $2 million of headwind that impacting revenue.
Mark Schappel: Okay, great. And then, moving on cash flow from operations came in a lot less than expected, could you just talk more about some of the accounting around that?
Rafe Brown: Sure, and I think the biggest reason for the cash flow, the bookings in Q3 weren’t really where we wanted them to be and particularly in Europe we talked about that on the last call. So that did delay cash that we would normally would have gotten in Q4, and so I think that is probably what impacted your model.
Mark Schappel: Okay. And then for 2015, what can we expect on the tax rate for modeling purposes?
Rafe Brown: On the tax rate, so it is going to jump up a little bit just because the R&D credit has once again expired. So we built our model out on the 34% non-GAAP tax rate.
Mark Schappel: Okay, great. And then Alan moving over to you, I think on the - on prior calls, you discussed how your technology is extending into or maybe moving outside of financial services, insurance the core traditional markets and moving into different areas like supply chain and the internet of things, any news report on that front this quarter?
Alan Trefler: Yes, I mean it is very clear to us that now the greatest growth in the future I think frankly is likely to come from these new verticals that we have entered. With the telecommunications business I think it is extremely strong one where we have had great successes with some of the largest telcos in the world and are continuing lots of good and repeat and follow on business that is for example in things ranging from the front office, customer service and next best action marketing to order management helping complicated, sophisticated business-to-business orders get processed and I think that is a tremendous business. And the healthcare business continues to be strong and it is going to I believe very materially continue to be a good business for us. Being able to do what is called care management, which is where you use a combination of rules and process and other sorts of facilities built very much into our core technology to be able to take care of people with chronic diseases, diabetes et cetera is one huge area, and then there is a whole additional population of people needing healthcare that are entering the system and we think that is going to continue to drive to demands on the health care, insurance, as well as the providers. The reality is I think those markets are going to be very strong. Having said that we are growing our historical financial services market even though we have only really sold to the very, very biggest ones of them. As part of this opening the aperture there are lots of banks that would have frankly $30 billion in revenue that wouldn’t use to make [Indiscernible]. We just wouldn’t talk to them where we have tremendous experience, tremendous references and I think that that business is going to be very positive as well as we make this transition, and there we are seeing increasingly that those organizations are also open to the Cloud. So I’m very happy that we are well positioned for the next couple of years.
Mark Schappel: Okay then finally on the prior call there is a lot of concern - notable concern as slowdown in Europe, it seems like obviously this quarter Europe looks a little bit, maybe you just talk a little bit about your longer term outlook there?
Rafe Brown: We are feeling better about Europe. But I think declaring victory is premature. There is a lot of activity, which is good. But there is also a lot of anxiety and nervousness in the buyers, which will tend to make the activity be somewhat smaller than it would otherwise. But having said that I have been to Europe already once this quarter and going again in March, and I am seeing a lot of interest, particularly in the UK, Germany I believe is going to continue to be strong. Switzerland is also very strong as well and interestingly enough we are seeing a lot of activity even in Italy. So we think it is going to be a selective recovery. We think it is going to be better, and the reality is a lot of these companies are now having to face, here in the case of some of the organizations really, really tough agendas around cost reduction, which our technology is really good at. And for the traditional banking customers, we have been making a lot of hay with this thing called the client life cycle management. You can think of it as sort of how do you onboard corporate customers, in particular, it is retail customers [Indiscernible], how do you onboard corporate customers in a way that is not going to get you in trouble with the regulators, how do you do that know your customer, how do you select processes, how do you check them year-after-year to make sure that there are some sanction list et cetera. And our technology is very well regarded in that area and that was frankly some of the nice selling we did in Europe in the fourth quarter as well.
Mark Schappel: Okay, great. Thank you.
Operator: Thank you, and our next question comes from the line of Brian Murphy with Merriman Capital. Please proceed with your question.
Brian Murphy: Hi, thanks for taking my question. Alan, as part of your attempts to broaden the addressable market here, will there be any major modifications to the sales coverage model, I mean are you guys going to - may we have name to account model? And also, how should we think about the growth in the sales headcount in 2015 sort of similar to what we saw in 2014 or maybe more consistent with prior years when you were more aggressive?
Alan Trefler: Well, I would like to I think we are going to see how the model unfolds in the first couple of quarters. And on a back-end loaded basis I would like to be more aggressive towards the end we’re just exercising it. We have just named the management team that is responsible for it. We are not going to - we are going to work hard to not screw up, our big account, high end business. We will involve some of the folks in the new model, but we have set up a separate in the Americas to start so that we are not rolling this out contemporaneously as quickly in Europe. And the first half of the year is going to be really about getting this model to work in the way that we want to, and then we will roll it out in Asia and Europe so that it is global. But the key is to maintain as we see it. For the very large accounts, the target model, we are going to make some adjustments to that for accounts that need more account management than active selling, and we think that will also allow us to reutilize some of our sales resources more effectively. So I think we would like to see the growth in the second half, especially the way we prepare for 2016, but you will see growth throughout the year, which is one area we are continuing to invest.
Brian Murphy: Okay, thanks very much.
Operator: Thank you. There are no other questions in the queue at this time. I would now turn the floor back over to management for any closing comments.
A - Alan Trefler: So, let me say on behalf of Rafe and myself that we are excited about the pivot we are engaged with. I feel a lot about where we are sort of an interesting comparison to where we were in 2005, 2006 when we made the pivot that caused us to go from a company that was sort of in the $100 million range to a company who has now grown many times that. I think that the market definitely has the need to what we are doing. We have product that is still highly, highly differentiated and the need of organizations to apply good technology strategically is one that I think is going to persist and increase, especially as it finds some of the quick fixes that they have sort of tried to do are going to need some bolstering, which is a really important part of what we’re seeing. So we look forward to what is going to be I think a very, very important year in the company in a year where we can do well, and I think that [Indiscernible] for folks to come to PegaWORLD in June, I think in particular June 8, which is a Monday, is one that a lot of you should look into, go to our website, check out PegaWORLD 15, it is under events, and it is going to be a spectacular conference with great customer stories and traditionally a lot of good product actually showing up. Thank you very much everyone.
Operator: Thank you. This does conclude today's teleconference. You may disconnect your lines at this time, and we thank all of you for your participation.